Pascal Juery: Good morning and welcome everyone to the Q2 Results Earnings Call of Agfa. It’s a call, but I have to say also that we have a few people in the room, a couple of analysts and a playlist, actually. So, it's a mixed meeting and it's nice to have, I would say, the possibility to a physical grouping as well in the full respect of distanciation and hygiene rooms. So, Q2 results, obviously, are quite contrasted for the Group. To make a long story short, I think all healthcare related activities have performed extremely well in Q2, while of course, the printing and graphics related activities have suffered from the COVID-19 pandemic. A very positive message on the Imaging IT business, which actually we are showing for the first time as is our post the divestiture of part of the HealthCare IT activity. We are delivering on the strategic roadmap, and we are improving significantly the profitability. This is a three-year journey. This is the first year of this journey, but we are very confident going forward about this activity. And if anything, we're a bit -- we're probably a bit in advance compared to our strategic roadmap. In the meantime, Radiology Solutions showed extremely good resilience. As you will see there are moving parts within the business. But overall, we are also very pleased with the development of radiology. Regarding non-healthcare part of the business, namely the Offset and the Digital Print & Chemicals, these are businesses which have been significantly impacted by COVID-19. That's very clear. And the name of the game for us have been to do some cost containment measures as much as we could to mitigate the impact on the bottom line. And I would say, I believe we did that with some success. In these two businesses, as you know, Offset was already, I would say, structurally challenged the part of the business portfolio. COVID-19 only compounded the situation. And as you know, we have been already taking steps to address, so structurally the profitability of this business. Digital Print & Chemicals impacted short term, but I want to reaffirm immediately that we are extremely confident going forward about the growth potential of the division post the pandemic. Needless to say also Agfa is a very different company post the HealthCare IT business, and today we are a company with a significant excess cash position on our balance sheet. And the first action that we have already taken, by the way, during Q2 is to start working on increasing the funding ratio of our pension plans and as well as implementing derisking actions. So, we are communicating very clearly that we are going to use €350 million over the next two years in order to do that and to make sure that pension liabilities are significantly reduced and the volatility of this item as well. I would like also to repeat that -- I always got a lot of questions on the use of proceeds regarding the €975 million coming from the sale -- the part of HealthCare IT business. So, you have part of the answer of €350 million used in pension. We have also, of course, eliminated any financial debt of the company, and we've said that we will use the rest of the proceed to keeping the company. But I want to stress that our opposition now has not changed. Actually, we use the same word saying for the time being given the visibility of the business, we prefer to keep it in the company. That's -- that -- there is no change whatsoever in our position here. Okay. This is the group. I think you know the picture, the largest business is indeed Offset. What I want to stress here is about 42% of our business is healthcare-related. And the balance 58% is graphics and industry-related. That refers to my previous comment of the strong resilience of the healthcare business. Now, if we look at the P&L, what is a story? Well, as you've seen, the COVID-19 impact has been extremely significant on the top line of the company. We lost about 20% of our sales. For the second quarter, we've seen -- of course, the quarter was not equal. I would say that already June was way better than April and May. And the continuation of the trend of improvement of the activity is also showing in July. So, overall, it was not a straight line, but still a significant impact for Q2 in terms of top line. Gross profit as well coming from the operational leverage, so significantly impacted by the top line. And you've seen immediately that for our SG&A and R&D we took steps to cost contain measures. And we could -- actually, I believe, be very reactive and efficient in taking these steps and mitigate somehow the impact on the EBITDA line, that is more restricted and as well as the EBIT. So, we still presenting a quarter with 8% EBITDA, which is not, I would say, normal quarter, but at least in current circumstances, I believe, cost containment could indeed mitigate some of the impact. If we look further to the net profit, there are two stories here. Of course, the net profit does include the gain on the HealthCare IT and therefore is extremely high at €668 million. Now, if you turn to the continuing the profit from continuing operations, indeed, is negative due to the high restructuring charge we took. Most of this restructuring charge is related to the project. We have to shutdown two facilities in the Offset part, one in Leeds and one in Portsmouth. I should stress that for the time being these units are not shutdown yet. We are still in the social process in France, and that will go on for the next -- for the next week. So, do not expect a shutdown and any impact for us before at least the Q4. And I believe it's going to be a partial impact in Q4. We'll have the full impact in 2021. That's due to the normal process of shutting down a plant. Now, if I turn to the key drivers, I think I pretty much explained the story. So, I'm not going to comment further on that. And I would like now to give you a view on the finance of the company. And I would turn to Dirk De Man, our CFO. Dirk, can you please comment the next slide.
Dirk De Man: [Technical Difficulty] So, obviously after the disposal, we had a serious cash inflow, and as Pascal already mentioned we paid our financial debt and overall this created also a much stronger balance sheet overall, including also the restoration of the equity of the company. The key point I would like to make is that there was two key items that were affecting the cash flow. One was the fact that we already contributed -- an extra contribution in Q2 for our pension plan. So, I will talk to that in the next slide, but this was already €40 million included in Q2, specifically as an extra contribution as part of the bigger plan. And the second part that affected our working -- our cash flow this quarter was the working capital. So, it was a €32 million negative cash flow in working capital. But Pascal will talk a bit more about that later. So, overall, a very nice net cash position, and maybe next time I should turn around the slide and show the cash has a positive rather than a negative. So, overall, a very good thing.
Pascal Juery: Yeah. Because it's a negative -- it's actually a lot of cash, right?
Dirk De Man: Yeah. So, let's maybe move to the next slide. So, basically, as we announced, we basically going to do a big step forward in regards to one of our key liabilities being the pensions. So, overall, our objective is to reduce the net liability for all these post-employment liabilities to below €700 million over the next four years. And as such, that will also reduce massively the volatility on our balance sheet. So, we're going to invest about €350 million, which we will focus on the key funded plan. So, if you may recall, these are the plans in the U.K., in the U.S. and Belgium. And there we will do both funding, but as well derisking, which will allow us to bring also the gross liabilities down.  This year we plan to already invest around €250 million. So, as I mentioned, €40 million was already done in Q2 and the rest will be spread over Q3 and Q4. As a result, the funded plans will get very close to funded -- fully funded status. So, basically they will become a much less significant. The gross liability will be reduced. And also the investment of the assets will be more -- duration matching to eliminate much of any volatility that is left in terms of net liabilities. The German plan is not a funded plan. So, we continue to consider that as a predictable long-term liability. And so, over time, this cash flow will be reduced by €1 million per year. So at this point in time, it's around €40 million and 10 years later, it would be around €30 million. It's relatively predictable, and we will continue to treat it as such like a long-term debt with little restrictions. So, the result of all this will be that the total cash contributions overall will decrease. So, this year roughly we estimated to be around €80 million. In a couple of years, by 2026, for instance, this would be around €50 million. And as I mentioned, it will continue to decrease over time. So, I think, it's a very big step that we're taking to derisk the company overall in regards to these liabilities that we have. Pascal, back to you.
Pascal Juery: Thank you, Dirk. And let's move on now to -- have a look at the working capital, because indeed it was a component of the cash flow that was negative for us in Q2, but there is clearly a reason for that. We have increased our inventory and especially in the hardcopy film, medical film business, which has produced like on this site in Mortsel. The reason being, first, we want it to -- it's a critical supply. And we wanted to make sure that we were safe in supplying our customers. We -- in a COVID-19 environment any outbreak of COVID-19 at the plant facility would have triggered activity, a significant shutdown period. So, we really were mindful of all these impact. Third, we need to run that plant actually flat out. It's not the plant. Either you run it flat out or you shut it down. And for the reason explain before, we really run the plant flat out during the first six months of the year. So, that's clearly why we ended Q2 a bit overstocked on the field with the intent to work it down during Q3 and Q4, that's really the story. It enabled us, again, to run efficiently and at low cost -- the lowest possible cost of the production of film during the first half. I have to say apart from that we've been watching, of course, very much our trade receivables. And I'm happy to report that for the time being we do not have any significant issues with customers paying us. And this is a -- this is an item that we are monitoring, I would say, on a weekly basis. And we are doing okay on this. So, this is a temporary increase of working capital. Actually, at the end of July, the working capital was already decreasing, and we expect this trend to continue until year-end. So that's also what impacted the operating cash flow of Q2, as well as Dirk explain the extra contribution in the pension area. And we wanted to give you full transparency on that. Now, let's turn to the business. And let's start with the HealthCare IT. I should say the new HealthCare IT, the new perimeter and here that the number that you are seeing representing perimeter on -- the least I can say that we are very happy with the results of Imaging IT.  As we told you, this is a business that was much less profitable than the one we sold, but we also told you that we have strategic roadmap, that is very clear for the next year to bring us to the high teens in terms of EBITDA. And actually, our strategy is -- has been detailed. Clearly, it's a target strategy. We target specific customer segments. We target specific geographies and we focus our activity on specific revenue streams, meaning our own software activity and professional services. And I'm happy to report. It works. It works. And Q2 is a good illustration, but Q1 was already pretty positive as well. Now, Q2 let's be clear. It was also a bit exceptional, because we could recognize in one go, a large contract in North America, the delivery of a full fledged enterprise imaging solutions to the AdventHealth Group in Florida. And that, of course, have created a specific revenue event, so to speak. So, I'm asking you not to take you to and draw a line for a while. It's not what it is. 55% of our revenue is recurrent -- is recurring, but were 45% linked to project and project implementation can be a bit lumpy from one quarter to the other. However, we have enough visibility because we are also saying that our project pipeline, even this has been probably a bit slowed down by the current situation, is still very healthy. We have a backlog that is well over a year of activity. I have to stress that we could deliver this project in Florida at the height of the COVID-19 crisis, meaning we know how to adapt. So we saw our way to work to make it efficient at our customer and being able to execute whereever, for instance, we work more and more remotely to execute that kind of project. So, all-in-all, now, if I go back to the numbers, it translates indeed to the number. For the first half we're already well into the double-digit EBITDA number. And the good news is it comes from pretty much everywhere. Gross profit is higher. The sale line is not great, but again, remember that we are really focusing on the high added-value part. So, if I was removing the non-target activity, actually you would see a specific growth in H1 for this business. And the desire, I would say, sales for the business. Strong gross profit and there is no reason why we shouldn't have also good cost management in HealthCare IT. It’s about delivering for our customer efficiently. And that's what we are doing as well. So, we are very pleased. But now as I say, let's not draw a line for the rest of the year. It's still a three-year journey. We prove that we can get there, but again, don't draw a line. Now, if I turn to Radiology Solutions. So, Radiology Solutions is still about -- still 56%, is hardcopy film, which represents still the bulk of our activity. CR and DR 38%. So, how did we sail in this business, but I probably will do the same, meaning show first the current and then the numbers. Well, clearly, in the DR market, the market changed dramatically during COVID. Actually, the market for Radiology decreased, but the demand for mobile equipment that you can put to the bedside of any patient increased for obvious reasons. We were able to adapt very quickly to this new reality of the market or stepping up also the supply chain, and we could gain share in this environment. So, we are very happy to say that director Radiology business has shown tremendous profit improvement during the second quarter, and the first half, in general. Computed Radiology the market has been decreasing in the top line, but we have maintained excellent bottom line. So, this is clearly a managed decline of the market. The market is moving to DR, but we do that very successfully on a profit area.  Regarding the film market. And the film market is mainly outside of Europe and North America. The first market is China. China activity is almost back to normal. It's not yet 100%, but it's close to 90% today. I've talked to Q1 that has been a bit impacted by the pandemic. But however, we are still suffering in terms of top line for the film from the value situation in India, in Latin America and the rest of the Asia. And that's clearly the case that in fact COVID-19 prevent -- actually people to go to the hospital to get normal procedures. So, in spite of the top line challenge, as you can see, we could mitigate it and bottom line -- this is clearly still a very, very profitable business. 21% of EBITDA almost the same EBITDA in spite of the film impact as last year, whether you look at Q2 or H1, we would expect these trends basically not to change in the coming quarters. Now, if I look at Digital Print & Chemicals. And we have three businesses really that -- in this area. Inkjet is about digital printing. We sell equipment, software, and ink into this market. Electronic print is our chemical business not to make it simple. And the remaining 44% is the non-medical film business. Now, if I look at the comment before showing the numbers. Well, clearly a huge impact in digital printing for the simple reason. Most of our current business is really towards commercial printing, meaning even driven advertising commercial activity. And obviously, it was extremely impacted during the pandemic. And also a significant part of our business is equipment. We sell equipment. We sell software. We sell ink. So, equipment during the pandemic, we could deliver the backlog, but there is no new orders -- no significant new orders during the situation. That's a very clear. So, this is the most impacted business. So, what are we doing in this area? Well, first, we have five new product initiatives that are going to be rolled out. Some are already out, but the rest will be rolled out in the next month. So, we have used the pandemic time to work on development, and we are bringing new equipment to the market with specific high productivity features for our customers. Second, we have drive for a few years to diversify away from the commercial printing sign and display market. And today we have initiatives in floorings and leather that has -- that are already commercial. And that we are rolling out. We have sold our first equipment in laminate floorings. We are about to sell another one. So, it's starting. And these are end markets that are much less impacted by the situation. Third, we are developing a new application in the field of OEM inks, in the field of a corrugated packaging. We believe we have a role to play in this market, thanks to our innovation. And fourth, you've seen that we have invested in capacity for water based inks production capacity. The reason is we are OEM ink business in the space is about to take off very significantly. So, overall, short term, a lot of impact midterm, extremely confident that we can deliver superior growth in this market. Specialty chemical business has been quite resilient during the crisis, but not totally immune. And here I want to exemplify you a bit. What is the play for the specialty chemical business of Agfa by giving two examples of commercial initiatives, fueled by innovation at the company. The first is conductive polymer that is used in capacitor as in hybrid and EV vehicles. That's a starting business, of or course. And we're extremely well-positioned to take a significant share of this market. And that's going to be -- that can be potentially a material business for this division in two to three years. And then also I would like to stress, I'm sure you've all seen the green deal by the European union with specific announcement on the green hydrogen economy with billions that will be invested in large capacity for green hydrogen. Germany has issued a similar plan. France is about to issue one. There are initiatives also here in Belgium, in the Netherlands. So, it's a booming, I would say, economy. Happy to say that Agfa is part of the story because we do provide a critical component, namely the membrane for the alkaline electrolysis units, that we'll work on and able to produce hydrogen. So, if I look at the ambitions by the various countries and the commission, in terms of capacity, this is a business that will be [technical difficulty] grow the profitability. So, I want to convey the message here that actually our chemical innovation that's position us in the right segments, both in terms of growth and sustainability, by the way. Last, film and foil business also impacted by COVID. The exposure to the industry is mainly in the oil and gas and aeronautics. And therefore, here we are impacted very clearly. Turning to Offset now. And Offset, as you know, was already in a situation where we were challenged, even before COVID-19. Well, of course, the COVID-19 situation has not changed the nature of the issue for the business. There are three markets for offset, newspapers and magazines, commercial printing, and packaging. The first two were significantly impacted by COVID. And therefore, we've seen that in our numbers. We have a revenue decrease of 25% in the offset market. Clearly, this is the area where we believe that there will not be a full recovery. When demand is being destroyed in this market, typically not every -- not all the demand will come back, so that we are fully aware of it. So, as you know, we have already taken steps to address the situation by reducing our capacity in Europe. And I did mention the two plants that we will be shutting down in the next month. But on top of that this is just a first step. On top of that, we are actually today reviewing our set business model. We are going to simplify our organization, our go-to-market. We will streamline the product offering, so more is yet to come in terms of offset in terms of really structural action. We also believe that current pricing levels in the industry are not sustainable. We believe there is an issue here. So, we look into a way to position ourselves differently in the market. For instance, today we give for free a lot of services to customers, and we are about to review therefore the way we earn our margins in this area. All this means, a very negative performance at the EBITDA level. So, we did the same as in every business segment, we could remove, as you can see, a significant part of our SG&A. Actually, we kept our SG&A in terms of percent constant even with the 25% top line decrease, but of course, it's not enough to mitigate the decrease in the market. And therefore, we are in negative territory for EBIT and EBITDA. As I said, we are taking the steps to address the situation as we speak actually. So that's a bit of Offset. I'm going to end up by the outlook. What we see today for Q3 is on the one hand, the activity level improves gradually. It is certainly not V-shape recovery. As we know, we are fully aware right now that, of course, the situation will take more time to get back to normal, I would say. The pace of recovery therefore is still quite subdued. And on top of that, we know already that, we cannot repeat some of the cost actions that we were able to have in Q2. Simple example, for instance, we are -- people are taking vacation, I would say, during July, August, and we are off course, encouraging everyone to take vacation. But when you take vacation, the company pay the full amount while when you are in a temporary unemployment part. Of course, there are schemes for you to benefit from advantages. So, that's one example. We are also going to wind down our inventories, meaning, we will shutdown on a temporary basis some of our plants, meaning the fixed cost will also partly flow to the P&L. So, actually we are expecting Q3 that is weak actually. And before what we believe will be a rebound in Q4 for us, the key assumption for us is that we are not entering into a new lockdown period, and that the economic situation continues to improve gradually. That's our assumption. However, on the medium term -- and when I say on the medium term, I'm saying in the next couple of years, I can restate on -- I can full confidence in the solidity of the offset business portfolio. Healthcare activities will benefit midterm from the situation. I strongly believe that post-pandemic, we will see a reinvestment in the health system, and we already see some signs of it and our activities are extremely well placed to take advantage of this positive market trend. On Digital Printing & Chemicals, the growth will come from our own innovation and we have a portfolio of innovation today. Again, these are commercial initiatives, not R&. We strongly believe in their potential. And last, but not least Offset the name of the game, we'll have to probably a right size of business, given the new deal in the market. So, expect some more actions in this area. But overall, again, I want to express my full confidence in the portfolio of the company with the one business that needs to be addressed in terms of profitability, which is Offset. I'm going to stop here. And, of course, I will be ready to take questions from analyst and journalist. So, we do have some in the room. Maybe we should start by the room, Viviane, and then take question on the phone.
Q - Guy Sips: Good morning. Guy Sips, KBC Securities. First, two questions. First is you stated that you are not changing your view on shareholder remuneration and possible share buyback, whatever. When can we expect some news on that? And so, you highlighted that you didn't change any view since the start of the pandemic compared to today? When can we expect some news on that one? And the second is, can you give some more color on the Florida contract size in the HealthCare IT business? So what was the contribution of that contract? And in Radiology Solutions, you stated that we do not expect the trend to change in the coming quarters. So, can you confirm that you're expecting this Radiologist Solutions that EBITDA margins be and stay close to the 20%? Thank you. 
Pascal Juery: Okay. On the shareholder remuneration, yes, I repeat that. I think, we use exactly the same wording. We used for Q1, I think exactly, we have not changed. To your question, when can we expect to have HealthCare IT, it's probably a bit difficult for me to answer because I need to have visibility. And today, I think you would agree with me the development of the situation to the pandemic, you have ups and downs, and it's probably not what we expected. So, it's a bit difficult to answer to your question on when, because we need this visibility going forward, but I hope that we'll be able to do that in 2021 at least. Regarding, the Advent contact, I would turn it to Luc Thijs, the Head of HealthCare IT business. I'm not sure we are able to provide any color here, but …
Luc Thijs: We have agreed with the customers in our contractual terms to people not divulge information. So, it was, let's say, very significant. Sure. But I'll leave it at that.
Pascal Juery: Yeah. It's confidential. AdventHealth were happy for us to mention the fact that we are their partner, but of course …
Guy Sips: The other way around, this contract, how many times can we expect as a contract of this size, is that every year, every two years, every five years, how exception was this?
Luc Thijs: I would say that the specificity here is that we were able to deploy within -- let's say, recognize within one quarter and because we have similar types of contracts with other customers, but they typically take a longer time to be deployed. Here, it was, let's say, within a quarter that, you saw the major impact, but there's several of those. And, of course, that was a future we're aiming for more of those thoughts. So, yeah. So we have -- as you will read -- a very focused approach towards customers that have a high IT maturity; and secondly, customers that have a growth plan. So, meaning hospitals that consolidate other hospitals. And -- or that extend service lines, and therefore grow in-patient volume.
Pascal Juery: No. It shows our ability to win in this market to have such a large contract with a large provider. It's a good -- and the ability also that we have to execute very well, actually on the project. This is what -- it does reflect. I mean, when you do it in one quarter, especially in the context of COVID-19 pandemic in Florida, that's what the takeaway should be. Our ability to deliver flawlessly large contracts in a difficult context, gives me every confidence, we won't have it every quarter as, look, you are saying normally it's typically spread over, but I think the takeaway is we're on the right track here. We're on a good track. Then, the last question regarding Radiology, yeah, we expect the trend to continue. We are expecting the film business to continue to be challenged until the end of the year in terms of volume. But we do expect, as well at the same time, much progress, on the direct Radiology business. So, overall, yes, I mean, Radiology Solutions will deliver.
Kris Kippers: Good morning. Kris Kippers, Degroof Petercam. Two questions, if I may. First one, importantly, of course, on the cash allocation for the pension plan. I was just wondering, what's the, let's say the risk profile that you have in mind for the Group? And what's the calculation you've made to state we want to derisk our pension plan that we have today? And what's, let's say, a normal level that we should anticipate going forward of cash on the balance sheet in that respect, because would you then consider, if you look at investing in, let's say, internal solutions, but also potentially externally. So would you consider if you net out the cash that you have with the pension plan, would you then consider to take in some leverage, let's say to, accelerate your growth as you foresee in some niche area. So, let's say add on M&A and things like that. So, that's the first question. Secondly -- sorry -- related to that, of course. How do you make the calculation from the 80 to 50? If I understand it well, let's say, €5 million, €6 million stems from the German fading out, and there has done a one-off effect of €20 million to €25 million from the posit that you made now roughly. Does it imply that you actually land at €45 million also in 2030 when the additional €5 million from Germany is coming in? And then just a second question. Indeed you alluded a lot towards the weaker Q3, temporal unemployment is indeed gradually fading out. Could you share with us some more details on how, let's say, benefited from that? And in what respect you can compensate those benefits by the restructuring that is coming up, for example, in Offset and things like that so? Thank you.
Dirk De Man: On the pensions, I think, we just took a cut at where we thought we should go in terms of funding -- the funded plans. So that's really how we went about it. So, we have three major plans that were funded, but let's say, not fully funded. And that's basically the angle we took is we wanted to bring them to a high enough funding level so that you could consider them fully funded with a little gap left. So, in the future, when you have discount rates still improving a bit that you get not automatically to a fully funded status or even the future. And I guess that's the long-term future, because I don't see that happening very soon. If discount rates would increase significantly, you could get to an over-funded situation and potentially take them off the balance sheet completely, but that's very long-term future. So that's what determined really our choices around the funding level. I think the second part of your question is more about leverage going forward. That will be more driven by the opportunities that come across our path. At this point in time, we're not intending to make big acquisitions. I think if anything, it will be small bolt-on elements that we need to develop the businesses that we have, but who knows. And in the long-term, these are indeed options as our business develops and there are opportunities that we need to look at that could be considered in the future. But for now we intend to stay cash positive and debt free and use the proceeds as we go along for the projects that we have. I forgot the third question. Can you …
Kris Kippers: The cash outflow for a pension from …?
Dirk De Man: Yeah. So, indeed you could consider debt continuing to decrease over time at least with €1 million a year. So, basically the point there is that it's the German funds that will be very predictable. And then there are still a part of an active fund in Belgium, which is the Belgium plan where -- when people retire, they take the cash in one lump and that's also going to be determining the cash outs, but they would not be increasing.
Pascal Juery: Just a point on acquisition going forward, let me state also that for the time being, when you look at the, for instance, Imaging IT or DR, we have an organic plan for growth. We don't need a lot of capital to grow. And as I said, in Digital Printing & Chemicals, that's also an organic plan to grow through innovation. So, it doesn't mean I'm rolling out anything in the future of it. The first priority for the time being is really to deliver on this organic plans, that the first and foremost priority for us. And also, I think we have a pretty good view of where we want to be in Imaging IT and [indiscernible] cardiology. I think we still have to write a strategic roadmap for the Digital Printing & Chemical business to look at the potential options we have in this space. But it's probably a bit less mature in the strategic, I would say, thinking in these areas.
Kris Kippers: Coming back on the pensions, decrease the cash out from €80 million to €50 million between today and 2026, but will we see a hike in, let's say, this year and next year, or will it be very gradual?
Dirk De Man: Yeah. I need to look at the projections. I just took the years where we had a nice rounded numbers. That's why I picked 2026, but we can follow-up on that point.
Pascal Juery: On temporary unemployment, I mean, it's probably a bit difficult to give more color. We try to give you examples of why. And I did that and you mentioned that, but I also did say that some of our units will be shutdown on the temporary basis, which also will have impact the P&L in the short term while releasing cash, by the way, from the working capital. So, it's probably a bit difficult to give more color right there on the temporary unemployment really.
Kris Kippers: Yeah.
Pascal Juery: Plus, the story is not over yet. I explained that, especially, for instance, in Belgium, we favor -- of course, vacation. But we are looking at our options for September as I speak. So, the story is not over. Another question from the room, I guess.
Unidentified Analyst: Yeah. One on further reorganization of graphics. What's your message for your -- for the labor force right here Mortsel before you said, they don't have to worry. Is it still the case or?
Pascal Juery: I think we have -- sorry. We have an issue with a microphone. What I did refer to is industrial -- Mortsel is mainly film and clinical related mainly. So, it's not graphics, it's not the main driver for Mortsel. So I repeat that. On the manufacturing footprint, I mean, the footprint we have in graphics -- I mean, which we are doing is in Leeds and in Portsmouth and France. Now regarding Offset, what we do have here is a headquarter. We have a lot of people doing services or engineering and so on, so on. So, yes, I mean, the Offset organization is here, but you should make the distinction between the industrial partner and the plan and their headquarters. Right, Luc, like you said.
Luc Thijs: Yes.
Unidentified Analyst: Yeah. If you summarize it a little bit and managing act phase [ph] making sure that your rebate is high enough to cover for the pension costs and the restructuring charges. Can you give us some clue on the restructuring charges going forward? This year they will be quite high, but how do you see them evolving over the coming years?
Pascal Juery: That's a good question. Well, we -- again, we have the -- we have received the cash from the HealthCare IT divestiture, and this is the opportunity to make a company transformation. We are addressing the liabilities today, the pension liabilities. I will also use the cash to make the company transformation. So when you refer to restructuring, we add the resources to restructure. I'm not in a position to guide you right now on restructuring. You need to be a bit patient. You understand that we are still working on a plan for Offset and Offset being a significant part of the company. We will be looking at the overall company setup, of course. But it's too soon to guide on the subject. And again, yes, you'll probably try it. I'm confident going forward with the growth of our businesses that yes, we'll have a growth that we will comfortably be able to pay its legacy duties while still generate cash. This is the name of the game here. Question from the audience on the phone. I think one at least, maybe a couple of, Johan, if any.
Operator: Okay. Okay. [Operator Instructions]
Pascal Juery: No questions from the phone.
Operator: There are no questions from the phone.
Pascal Juery: There are no questions. Okay. Very good. No questions from the room. Okay. So, thanks very much. And thank you very much for your attendance. Stay safe, and see you in about a quarter then I hope. Thank you.